Operator: Ladies and gentlemen, welcome to the Befesa Third Quarter 2025 Results Conference Call. I am Jota, the Chorus Call operator. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Rafael Perez, CFO of the company. Please go ahead.
Rafael Perez: Good morning, and welcome to the Third Quarter 2025 Results Conference Call of Befesa. I am Rafael Perez, CFO of Befesa. This morning, I'm joined by our Group CEO, Asier Zarraonandia. Asier will start with an executive summary of the period, and then he will cover the business highlights of the Steel Dust as well as Aluminum Salt Slag Recycling businesses. I will then review the third quarter financials by business and we'll cover the evolution of commodity prices, our hedging program and finally, cash flow, net debt, leverage and capital allocation. Asier will close this presentation providing an update to the outlook of the rest of 2025 as well as an update on our growth plan. Finally, we will open the lines for the Q&A session. Before getting started, let me remind you that this conference call is being webcast live. You can find the link to the webcast of the third quarter 2025 results presentation on our website, www.befesa.com. Now let me turn the call over to our CEO. Asier, please.
Asier Zarraonandia Ayo: Thank you, Rafa. Good morning. So moving to Page 5 of the business highlights. Befesa has delivered strong third quarter results, continuing the solid trend seen in the first half of the year. Our performance demonstrates once again the resilience of our business model and the benefits of our diversified operations. Adjusted EBITDA for the first 9 months of 2025 reached EUR 174 million, up 15% year-on-year. EBITDA margin improved significantly to 21.3% in Q3 2025 compared to 16.6% in the same quarter last year, reflecting a strong operational efficiency and disciplined cost management. Financial leverage was further reduced to 2.6x in September 2025 compared to [indiscernible] a year ago, highlighting our continued focus on deleveraging. Net income and earnings per share also increased sharply. EPS rose 143% year-on-year to EUR 1.52, reflecting strong profitability and improved financial performance. In our Steel Dust business, we achieved a strong recovery in Q3 volumes following the maintenance shutdowns carried out in the first half of the year. Performance was further supported by lower zinc treatment charges and favorable zinc prices. Our secondary aluminium business continues to be impacted by a persistently challenging environment, driven mainly by weak automotive market in Europe as well as the usual summer period maintenance activities in the auto industry. The Palmerton expansion project is developing as expected with the second kit successfully hot commissioned in July 2025. Looking ahead, we confirm our full year '25 EBITDA guidance in the lower part of the initial range of EUR 240 million to EUR 265 million, as we already commented in July. We expect a strong Q4 driven by higher EAF dust volumes across all markets. Our financial leverage is expected to fall below 2.5x by year-end, supported by solid cash generation and disciplined capital allocation. Growth CapEx will continue to focus on the Bernburg project following the substantial completion of the Palmerton expansion. I will comment on the outlook in more detail later. Going to the Page 6, Steel Dust business highlights. In Europe, steel production in the third quarter of 2025 remained depressed, down 4% year-on-year, mainly due to the weak manufacturing activity and soft demand in the automotive and construction sectors. Despite this, our steel dust deliveries from EAF steel customers continued to in line with the 2024 average and solid levels. Operationally, the European plants performed strongly, achieving a 94% load factor in the quarter. We expect strong volumes to continue into Q4, supported by healthy inventory levels and no major maintenance stoppage planned. In the U.S., steel production increased by 4% year-on-year in the third quarter, driven by infrastructure spending and tariffs supporting domestic steel demand. Our U.S. plants operated at an 80% load factor in Q3, the highest level since the acquisition and reflecting a gradual improvement. The 2 new kilns in Palmerton have been fully operational since July 2025 and new EAF steel supply contracts are ramping up progressively through the Q4 following some initial start-up delays. At the same time, cost reduction measures at the U.S. zinc refining plant continue to deliver the expected improvements in asset profitability. In Asia, volumes in Turkey increased by 40% year-on-year in Q3, recovering strongly after a weak second quarter affected by maintenance shutdowns. In Korea, the load factor reached 77% in the first 9 months of the year, up 11 percentage points year-on-year, driven by higher domestic deliveries and a strong operational evolution. In China, operation continued at low utilization levels with earnings around breakeven, reflecting ongoing market weakness. Moving on to Page 7, business highlights for the Aluminium Salt Slags Recycling business. In our aluminium business, performance has remained mixed in the third quarter, starting with the Salt Slag Recycling business, operations has continued to perform strongly, running in line with previous quarters. Utilization levels remained around 90% for the first 9 months, demonstrating the robustness and efficiency of our assets. As in the previous years, we carried out the scheduled maintenance stoppage during the summer months in Q3, and we expect a stronger operational performance in Q4, driven by higher volumes. In our secondary Aluminium segment, the market environment continues to be very challenged. The European secondary aluminium industry remains under pressure with tight metal margins and limited production activity, largely as a consequence of the ongoing weakness in the automotive sector. Q3 is typically a softer period due to seasonal maintenance shutdowns in the industry and this year was not exception. Despite these headwinds, we continue to focus on operational discipline, cost efficiency and customer diversification to preserve profitability and position the business for recovery once market conditions improve. Now Rafael will explain the financials in more detail.
Rafael Perez: Thank you, Asier. Moving on to Page 9, the financial results for the Steel Dust segment. Steel Dust delivered EUR 154 million of adjusted EBITDA in the first 9 months of the year, which represents a 27% year-on-year improvement compared to the 9 months of the previous year. EBITDA margin improved from 20% to 26% in the period, mainly driven by better pricing environment on treatment charges and zinc hedging. The EUR 33 million EBITDA improvement has been driven by the following factors: the year-on-year impact from volume has practically no impact with similar plant utilization at a good level of around 69%. As we already highlighted, there are no major maintenance stoppages in the second part of the year in large assets. We enjoy high EAF gas inventory levels across all our assets, and we expect an increase in customers deliveries in the U.S.A. for new contracts that are gradually starting in this quarter. On price, strong positive EBITDA year-on-year impact of around EUR 28 million, with the 2 main price components being around EUR 15 million of positive impact from higher zinc hedging prices, 5% higher year-on-year; and secondly, EUR 13 million positive impact from the lower treatment charges, which was set at $80 per ton for the year 2025. On costs and others, a net EUR 4 million positive impact is largely driven by the lower operating cost in the zinc smelter in the U.S. as well as lower average coke price in the period. These 2 positive effects have been partially offset by higher inflation costs in the recycling business, as well as unfavorable FX. Moving on to Page 10, financial results of our Aluminum segment. Aluminum Salt Slag delivered EUR 23 million of EBITDA in the first 9 months of the year, which represents 26% year-on-year decrease compared to the EUR 30 million in the same period of the previous year. The year-on-year EUR 7 million negative EBITDA development was mainly due to the lower aluminum metal margin as well as slightly higher operating costs and energy prices. On volumes, overall marginally negative EBITDA year-on-year impact during the 9 months with a decrease of EUR 1 million. Our recycled volumes of salt slag remained pretty much in line with the previous year. With these volumes, we operated our plants at a strong capacity utilization rates of about 89% in salt slag and 77% in secondary aluminum. With regard to prices, negative EBITDA year-on-year impact of about EUR 4 million, as explained mainly driven by the pressure aluminum metal margins versus the previous year. This compression in the aluminum metal margin is caused by 2 factors. On the one hand, there is a scarcity of aluminum scrap in the European market, driven by lower overall industrial activity as well as higher exports of alu scrap away from Europe. And secondly, a very weak automotive industry in Europe, which impacts demand of secondary aluminum from automakers. However, this was partially offset by higher aluminum F&B price with an increase of 2%, averaging EUR 2,372 per tonne. On cost and others, increased pressure from higher operating energy-related expenses, mainly through the higher energy prices of electricity as well as natural gas. Moving to Page 11, zinc prices and treatment charges. Regarding zinc price during the 9 months of 2025, zinc has been trading in the range of $2,520 to $3,020 per tonne, showing particularly positive trend in the last months of 2025. The average of 9 months zinc LME prices have been $2,768 per tonne, which is 3% above the same period of the last year average, [ being ] the average of the Q3 $2,825 per tonne compared to $2,640 per tonne in Q2. On the right-hand side of the slide on treatment charges. In 2025, treatment charges for zinc was set in April at $80 per tonne for the full year 2025 compared to the $165 of the last year, marking an all-time low record level. This deduction is driving earnings significantly in 2025. Turning to Page 12 on hedging. Our hedging book covers until the first quarter of 2027, close to 15 months of hedges in our books at increasing hedging average prices of EUR 2,640 in 2025 and EUR 2,655 per tonne in 2026. This level of hedging represents an all-time high level of hedging for Befesa, providing stability and visibility over the coming quarters. We are taking the opportunity of the recent rally on the zinc price to close volumes for the first quarter of 2027, and we continue to monitor the market to close volumes for the remainder of 2027. Turning to Page 13, Befesa energy prices. The page shows the evolution of the 3 energy sources that we have in Befesa, coke, natural gas and electricity. With regard to coke price, which today represents around 60% of the total energy bill, the normalization that started in the second quarter of 2023 continues throughout the first 9 months of 2025. Average coke price in the third quarter was about EUR 153 per tonne, consolidating its downward trend compared to the previous quarters. Regarding electricity, which today accounts for around 30% of the total energy expense, prices have rebounded to EUR 103 per megawatt hour in the third quarter of 2025. after a significant correction in the second quarter of 2025. And gas prices continued their normalization in the third quarter of 2025 to EUR 46 per megawatt hour, reversing the upward trend observed in the last year. Now turning to Page 14, the cash flow results. Operating cash flow in the 9 months of the year has reached EUR 115 million, which represents a decrease of 3% compared to the same period of last year due to a positive tax effect that we enjoyed last year. On the EBITDA to cash flow bridge, starting with EUR 174 million of adjusted EBITDA and walking to the left. Working capital consumption amounted to EUR 42 million in the first 9 months of the year, mainly driven by the usual first quarter working capital consumption as well as the usual Q3 impact on secondary aluminum, driven by the slowdown in the auto industry. As in previous years, most of this working capital will [ revert ] into the fourth quarter. Taxes paid in the 9-month period came in at EUR 17 million as a result of the final tax assessment of previous year in comparison with the EUR 4 million collected in the period of last year, resulting in an operating cash flow of EUR 115 million in the first 9 months of the year. On CapEx, during the period, we have invested EUR 30 million in regular maintenance CapEx across the company, EUR 23 million of growth CapEx related to the refurbishment of Palmerton plant in Pennsylvania, which is now practically completed and [ Bencpur ] (sic) [ Bernburg ] expansion project in Germany. In summary, CapEx of EUR 53 million in the quarter. For the full year, we expect total CapEx to be around EUR 80 million, which is in the lower part of the range of EUR 80 million to EUR 90 million. Total interest paid amounted to EUR 26 million and the total borrowing amounted to EUR 22 million in the first 9 months of the year. For 2025, the EGM has approved in June to pay a dividend of EUR 26 million in July, equivalent to EUR 0.63 per share or 50% of the net income. In summary, final cash flow amounted to minus EUR 13 million in the first 9 months of the year. Cash on hand stood at EUR 90 million, which together with our EUR 100 million undrawn revolving credit line provides Befesa with almost EUR 200 million of liquidity. Gross debt at the end of September stood at EUR 700 million. Net debt stood at EUR 610 million compared to EUR 662 million in the same quarter of last period -- last year, resulting in a net leverage of 2.59x at closing of the quarter, a strong improvement compared to the 3.36x at September 2024. Turning to Page 15, debt structure and leverage. Following the refinancing back in July 2024 and the repricing in March this year, Befesa today has a long-term capital structure with optimized financial cost. We will continue reducing the leverage throughout 2025 to keep it between 2x and 2.5x by the end of the year and going forward. We expect net leverage to be below our target of 2.5x by the end of the year. To do so, we are prioritizing growth CapEx in those projects that are delivering immediate cash flow upon completion like the approved projects of [ Bernburg ] and other market opportunities that could appear. Also, we will keep the annual regular maintenance CapEx around EUR 40 million to EUR 45 million in the coming years. On dividend, we are committed to maintain our dividend policy to pay between 40% to 50% of the net income to shareholders. Now back to Asier on outlook and growth.
Asier Zarraonandia Ayo: Thank you, Rafa. Looking at the full year, we confirm our EBITDA guidance in the lower part of the range of EUR 240 million to EUR 265 million, as we previously communicated and in line with the current market consensus. This will be achieved through increased utilization driven by a strong volume in EAF across all markets, along with currently favorable market conditions, low treatment charges, supportive hedging price, declining coal prices. Total CapEx in the year will be between EUR 80 million to EUR 90 million with around EUR 45 million on regular maintenance and the remaining on growth. Net leverage will be below 2.5x by the end of the year, and EPS is expected to be higher than 2, representing an increase of at least 57% in the year. Moving on to Page 18 on Palmerton. In the United States, our Palmerton plant has been successfully refurbished, marking a key milestone in our strategic growth road map. Both kilns are now fully operational, positioning Befesa to capture the significant growth expected in the U.S. EAF steel dust market over the coming years. U.S. electric arc furnace steel capacity is projected to increase by more than 20% by 2028, equivalent to around 18 million tons of new steelmaking capacity. This expansion translates into over 300,000 tons of additional steel dust, creating a substantial opportunity for Befesa's recycling operations. With a total installed capacity of [ 643,000 ] tons across our U.S. plants, we are now well positioned to leverage this growth. Our goal is to progressively ramp up utilization from below 70% today to around 90% by 2027, as new electric arc furnace capacity comes online. The combination of our [ modernized ] Palmerton facility, long-term customer relationships and strategic geographic footprint [ near key steel procedures ] ensures that Befesa is ready to capture this next phase of growth in the U.S. market. Bernburg, moving to Page 19. This is another important milestone in Befesa's growth journey, as we continue to strengthen our aluminium business and expand our recycling capacity in Europe. From a timing perspective, all permits have now been obtained and construction officially started in August 2025. We expect a 12-month construction period followed by a 6-month ramp-up phase in the second half of 2026. On the commercial side, we have already secured strong customer support. Overall, the Bernburg expansion is progressing fully in line with plan. Thank you very much.
Rafael Perez: Thank you, Asier. We will now open the line for your questions.
Operator: [Operator Instructions] The first question comes from the line of Shashi Shekhar with Citi.
Shashi Shekhar: I have a couple of questions. My first question is on capital expenditure. Could you please guide us which project or projects are you planning to undertake post the Bernburg expansion project? And what is the total CapEx guidance for 2026? My second question is on China. Can we expect any improvement in the utilization rate in 2026?
Rafael Perez: Thank you, Shashi. I will take the question on CapEx and Asier will explain you the China market environment. But on CapEx, as I said, Palmerton is almost completed or completed and the focus at the moment is on Bernburg. Bernburg is a EUR 30 million total CapEx. I would say probably 40% this year, 60% next year. On top of that, you have to consider the regular maintenance CapEx of EUR 40 million to EUR 45 million, okay? Still early to say a guidance for next year, but with these numbers, you can figure it out. Beyond that, there are 2 projects in Europe. One is the expansion of Recytech to capture the growth of the EAF market in Europe. And the other one is a brand-new salt slag plant in Poland. Those 2 projects, we still haven't got a time line. These are market opportunities that we are envisaging the market, but they still haven't been approved by the Board, and we still haven't got a time line for those. And Asier will comment on China.
Asier Zarraonandia Ayo: Yes. Thank you for the question, Shashi. Yes, the question for China is always there. And well, we have to say that basically, the '25 year is coming basically the same than '24. The utilization level of the mini mills, the electric arc furnace at the areas are very, very low, and we are at a breakeven point. Question for '26. Again, it's early, as Rafa said, with the CapEx, but I think that it's not final, that is going to change a lot. But well, the year is long and probably we need a little bit more time to see if the real estate of the construction business start to grow a little and that means more volume. So it's still early, but I cannot say that it's going to be a change -- a very significant change in '26 right today. We will update further later.
Operator: The next question comes from the line of Lasse Stueben with Berenberg.
Lasse Stueben: Just a question on the secondary aluminum business, just to get a feeling for kind of the near-term outlook. It seems to have sort of rolled over in the third quarter. So I'm just wondering if -- is there going to be somewhat of an improvement in Q4 or also generally into '26 I guess, structurally, there's some problems with European automotive at the moment. So just wondering, want to get some comfort on the outlook also for '26 and beyond. And then also on Bernburg, following on from the weakness in sector aluminum, what are thoughts -- clearly, you're pressing ahead here, but I'm just wondering, given the issues in European automotive, can you give us some comfort here that that's kind of the right move and you're not investing into something which is going to struggle for years to come?
Asier Zarraonandia Ayo: Thank you, Lasse. Fair question. Well, obviously, this year, the secondary aluminum business is a very challenged for us and is obviously affecting to our results. The fact is that the automotive sector in Europe is foreseeing this situation in the secondary aluminum because pressing the volumes, pressing the margins down and it's a difficult situation. It's not something new, has happened in the past as well. And well, finally, the market start to absorb this level and be back on better margins. And so starting for the 2 themes. Fourth quarter, well, we don't see a very strong quarter in terms of results, but I do think that probably it's going to be better than the Q3 because the volume even in the Q3 is lower because the maintenance stoppage and now we are going to have more volumes and the last part of the year normally for inventories and other matters is going to be better than the Q3, probably in line with the Q2 or something like that. I mean it's like we don't hope a big recovery. '26 is a different history. I think that '26 the situation is going to be definitely better, not like a very good year, but probably some recovery in the normal activity of the automotive. But linking with the question of Bernburg, which is a logical question is like the Bernburg project, the increase of capacity is linked to not automotive demand. It's linked to the food demand, cans and other with a customer, with a tooling contract with a new customer. So this is going to deliver positive results for sure, because the volumes are there. So all in all, Bernburg new contribution, even if it's going to be half year and some recovery. We do think that in the '26 year it's going to be clearly a better year than '25 in the secondary aluminum, not at the best of the series for sure, but it's going to help us to keep -- keeping with the good results in the global Befesa EBITDA and rest of the other matters.
Rafael Perez: Just, Lasse just one additional comment on what Asier said regarding Bernburg, which is a logical question to have. Let's not forget that the demand for secondary aluminum in the long term is very positive and everybody agrees that there's going to be more than 50% growth demand of secondary aluminum over the next 10 years. This is a structural trend. And what we want to do with Bernburg is to capture on that trend. And Asier said very well, it's about diversification from the auto industry into the beverage cans industry, which is also a good thing to have in the company.
Lasse Stueben: Understood. And if I may, just a follow-up on CapEx. I mean, based on your comments, I mean, could it be that CapEx next year is well below EUR 80 million just based on your comments? Or is there something potentially that could come through, which kind of pushes you up to that kind of EUR 80 million that you mentioned?
Rafael Perez: Fully agree, Lasse. I think CapEx next year will definitely be lower than this year. We still are in the middle of the budgeting process for the next year, which we do bottom up, but clearly below this year. And I think, yes, EUR 80 million will be a cap on the CapEx for next year, definitely.
Operator: The next question comes from the line of Olivier Calvet with UBS.
Olivier Calvet: Hope you can hear me well. I have a couple of follow-ups. Firstly, on the CapEx budget from 2026. Can you help us think about your pecking order of projects for growth? Are we -- are you rather looking more to EAF expansion in Europe or salt slag expansion in Europe? Or are you rather looking at potentially using your cash flow for further deleveraging or returns to shareholders? That would be the first question.
Rafael Perez: Thank you, Olivier. I think I have already tried to answer that. But yes, basically, the focus at the moment is on free cash flow generation and deleveraging and those growth projects that we have clear visibility, like Palmerton is almost completed and Bernburg, as we have been commenting before. On top of that, you have to consider the recurring maintenance CapEx. We don't envisage any investment in the expansion of EAF in France or in the salt slag plant in Europe in 2026, okay? So that's what we can say. That will definitely help deleveraging within our target of between 2 and 2.5x, and maybe we will get closer to 2x rather than 2.5x.
Olivier Calvet: Okay. And then the second question would be on the EBITDA guidance for this year. I guess mostly on the high end of the EBITDA guidance. What would you need to see basically to get to that level?
Asier Zarraonandia Ayo: Well, definitely the high end is really not realistic for today, I want to say like that. The question here is that we are going to be in the range of EUR 240 million to the midpoint depending on the final production, which are coming very strong in October. Of course, the pricing, I mean, you have seen the zinc prices in October. So depending on how they develop could help us to get more. And again, the recovery of aluminum that for sure, in the salt slag, which is another important business is coming for sure, better because they are not the maintenance stoppage. So well, we have to determine what is the final EBITDA level in this range. What is true is that you think in the very high part of the range, what we explained there is that at the beginning of the year when we do the guidance, well, depending on basically those things, how the aluminum business will perform, zinc prices during the year and other matters that are not happening. So at the end of the day, I think that that's why we are confirming the guidance and the guidance is the reference, but probably among the low part, between the low -- sorry, the low part and the medium part. This is the idea.
Rafael Perez: Which is Olivier in line with the market consensus at the moment, as you know very well. There are 3 main elements that will make, as Asier explained, be on the higher part secondary aluminum is weaker than what we expected. Also, FX is unfavorable. And then obviously, in the higher part, we always consider a much higher zinc price environment, okay?
Olivier Calvet: Makes sense. Okay, cool. And just the last one. Could you give us an update on the operating issues of one of your competitors in Mexico? Have you seen additional steel dust contracts as a result of their issues or --.
Asier Zarraonandia Ayo: Well, yes, we listen about that and we cannot comment about the problems of those guys, but more than what we can treat the same than you. It's not a big effect at the beginning. They are more or less operating well and there are no changes in the market. If it is going to come more change because the problems persist or no, we will see. But in this moment, it's not a big issue and not affecting us in a positive way, obviously, not in the negative because it's not our task.
Operator: The next question comes from the line of Fabian Piasta with Jefferies.
Fabian Piasta: Just got a question on the treatment charge going forward. I mean, on the chart, you were showing zinc price is increasing or very favorable this year that points towards like more stable, stable treatment charge, but spot treatment charges have increased rapidly. Do you have any visibility on where we might move? So what would be the swing factor? Are we thinking about the 10% increase, 20% increase? What are you seeing in the zinc market? Second question would be, given the inventory levels, do you expect any spillover effects into the first quarter of 2026? That would be it for now.
Asier Zarraonandia Ayo: Thank you for the question, Fabian. Treatment charge, well, I would like to know exactly what is going to be the figure for next year. What the rumors, salt, everything is commenting in the LME Week in London and so on is that, obviously, nobody knows what happens. But based on, as you say, in the spot and everything, perhaps levels of $120, $130, $150 max could be on the place there. We will see. I mean, our steel very good treatment charge for us for the miners position because obviously we are one of the lowest, but probably definitely are going to be higher than this year because it's the lowest ever, right? And probably to keep $80 will be very, very difficult. So we'll see. I mean, probably, as you say, 20%, 10%, 20%, more 20% of increase over this year probably is a headwind that we are going to have next year. And...
Rafael Perez: Can you remind Fabian, the second question, please?
Fabian Piasta: Yes. The second one was basically on your steel dust inventories, whether you're expecting some spillover effects into 1Q 2026? Because I mean, when I'm looking at consensus numbers on full year sales, that would imply a revenue increase of 27% in the fourth quarter. So is there still like some dry powder for 1Q, even if you get these volumes through in the fourth quarter?
Asier Zarraonandia Ayo: Well, once again, we will see how we finish the year. But I think that the production of the steelmakers is still under pressure but depending on the geographies starting to be a little bit more positiveness for the next year in terms of orders and so. And the inventories are now normalized because we increased the level in the second quarter because the maintenance stoppage now are normalized. So I don't think the first quarter is going to be affected, but nothing very strange. So well, again, '26 is -- we were expecting question about '26 because we are in October that is logical. But at the end of '26, we need a little bit more time to develop, but no reasons to believe that there's going to be a big change over the normal production out of, we have to start to include some maintenance stoppages because yearly basis for those are normally affecting. So all in all, we will see what is the level, but nothing very, very crazy or very, very strong.
Operator: The next question comes from the line of Jorge GonzÃ¡lez with Hauck & Aufhaeuser Investment Banking.
Jorge González Sadornil: I have a couple of questions. And the first one, Asier, on regards of the expectation for Q4, I think you have just mentioned that the stocks that you have are now normalized after the strong Q3. This means that we should not expect a Q4 above Q3 in terms of the works sold or the steel dust process for the quarter or Q4 could still be above Q3? That would be my first question, please.
Asier Zarraonandia Ayo: Thank you, Jorge. Now clearly, it's going to be above Q3. I mean the fact the inventory history was affected more than the Q3 because normally, over the years, we have some maintenance stoppage. And you see the series, Q4 always is the strongest of Befesa, we hope the same. I mean now with the deliveries and the normal inventories, we are willing to run very strong in Q4. And the reason is as always because there are no maintenance stoppage. So the Q3 has been very strong. And I think that we think that the Q4 is going to be even more, not a lot because we are running at very high utilization rates. But no, no, definitely, it's going to be higher than the Q3 in steel dust. And as well, we have to consider that the maintenance stoppage in the salt slag, which is our other strong and profitable business is going to come higher, which is a different for the Q3 because it was some maintenance stoppage that are not going to happen in Q4. So you put together, it's going to be definitely the Q4. As usual, it's going to be our strongest EBITDA, our strongest activity period, and we can confirm that. That's why we expect a strong Q4 and to be where we are going to end in the range, but definitely a strong and higher utilization rate than the Q3.
Jorge González Sadornil: Okay. And then my last question is on regard the secondary aluminum profitability. Can you help us to understand where the profitability could be for next year? Do you have any targeted range for the profitability, taking into account some stabilization in the auto industry and the new assets starting to contribute? That will be very helpful.
Asier Zarraonandia Ayo: For me too. Now seriously, Jorge, it's a good question. Well, I think that probably you have in front of you the last years, getting an average could be a good reference. Other is to be back for the '24 level and then again, because it's a kind of cyclicity in the business. So you can take other probably the reference of the '24 or an average or something like that. That's what we see now. Probably we need a little bit more color as well on the market in the last months, but I think that is a good reference getting in the '24 or something like that, that is what we expect in '26 because it's difficult to see a full recovery because we know all of us read about the automotive sector with the problems and production levels that are showing European carmakers, especially. So not a full recovery, but some recovery and the levels of '24 or average of the last year probably could be a reference.
Jorge González Sadornil: Are you expecting any adjustment of capacity in the sector that could help the margins to go up at some point or there is not any noise in this?
Asier Zarraonandia Ayo: This is basically the point. This is basically the point. There are starting to be some players under troubles, financial troubles and probably the capacity is going to be, as always in the crisis periods adapted. It's not the case, obviously, of Befesa because we have this business, as always explained, that is for us is supporting the salt slag. Financially, we have no problems to survive there, but there are guys that probably they can get out of the market or reduce some capacity and everything is going to be more balanced. That's why the logic of the market that has to be organized as well and that's why we understand that it's going to happen better '26 outlook for the aluminum business. The level, early to say. But again, I think that probably a recovery '24 levels or average of the last 2, 3 years, probably would be a good level.
Operator: [Operator Instructions] The next question comes from the line of Anis Zgaya with ODDO.
Anis Zgaya: I have only 2. First one is on hedging. When we see the current zinc LME '27 forward prices, which are at $2,900 per tonne or slightly above. That's not bad. Why don't you accelerate hedging for the whole '27 year at this level? And my second question is on treatment charges. The current spot prices in China increased to around $120 per tonne after a very low level in the beginning of the year. Does this seem to you to be a good indicator for the future benchmark level of treatment charge to be set next March?
Rafael Perez: Thank you, Anis. I will take the question on hedging. Obviously, we are doing that. Actually, this week, we have closed a very interesting volume of hedging for the first quarter of 2027. You cannot go at once all the way through to the entire year because the curve is in backwardation, which means that the forward prices are lower than the spot prices. So yes, you see the spot prices, but when you want to lock in prices 12 months, 1.5 years, 2 years ahead, the prices are decreasing, okay? And we have internally certain targets that we don't want to miss, okay? So -- but yes, we are taking the opportunity, and we are moving forward with the hedging in the first quarter. So we will take one quarter at a time. And Asier will be taking the question on treatment charges.
Asier Zarraonandia Ayo: Yes. Thank you, Anis. Yes, I think it's a good reference, the spot normally in China because it's basically the only part of the world which runs on a spot basis in a massive way. Yes, it's a reference definitely, but always we can talk about reference. They have been periods where there is strictly the same of the spot TCs or the others is similar or not. As I said before in the previous question, yes, this is the $120, $130 is the level that now they are considering. So well, the reference and the trend, the spot is a good light to see what is going to come. But still, again, early to say.
Operator: The next question comes from the line of Adahna Ekoku with Morgan Stanley.
Adahna Ekoku: I've just got one follow-up on the 2026 EBITDA, especially for steel dust. And maybe could you help us with what utilization you're targeting in the U.S.? I think you've got 90% for 2027. And in Europe, would you expect any upside from the recently announced steel safeguard measures? Or is it still too soon to say on this front?
Asier Zarraonandia Ayo: Thank you for the question. Yes, I think the answer is yes to both. I mean we have in pipeline for the U.S. more tonnages than this year, definitely. And one of the reasons, again, that we are not moving in the low part of the range as the volume in U.S. that we have already contracted because there are some delays in the ramp-up are coming later than we expected, but definitely are starting to come and we hope that next year are going to be on our facilities during the whole year. So yes, I think it's an intermediate year to capture the 90% utilization probably in '27, but next year it's going to be higher than this year and probably in the range of 80% or we will see exactly, but U.S. is one -- it's going to be the more volumes in U.S. is one of the boxes that we have in mind for '26, the headwind of the treatment charges probably is going to be compensated by higher volumes in U.S. and probably in other geographies like in Europe. In the case of Europe, the answer is yes, we are starting to capture some projects that are going to come into picture in '26, not many, but there are some in, one in Spain and others that we have under the contracting period now. And we -- that's going to help to be a little bit less pressure to keep the 90%. I think here in Europe to grow from the current levels is difficult because basically you have full capacity. And the only thing which is pressing is that probably transportation cost for the dust and other are going to be benefit. So if all those projects starting to see that are coming really, then we will start the increase of capacity in Europe probably in '27. So '26 is going to be a good year in Europe to see how the projects are delivering. But definitely, it's going to help and we are continuing with that to have more dust in 2026.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Rafael PÃ©rez for any closing remarks.
Rafael Perez: Thank you all for your questions. You can also contact the Investor Relations team of Befesa for any further clarification. We will now conclude the conference call and the Q&A session. Let me remind you that you can find the webcast and the dial-in details to access the recording of this conference call in our website. Thank you very much and have a good day.